Operator: Good day and welcome to the Q1 2017 Innospec Inc. Earnings Conference Call. Today’s conference is being recorded. At this time I would like to turn the conference over to David Williams, General Counsel. Please go ahead sir.
David Williams: Thank you, and good day, everyone. My name is David Williams, and I’m Vice President, General Counsel and Chief Compliance Officer at Innospec. Thanks for joining our first quarter 2017 financial results conference call. Today’s call is being recorded. As you know, late yesterday, we reported our financial results for the quarter ended March 31, 2017. The press release is posted on the company’s website, www.innospecinc.com. An audio webcast of the call and the slide presentation on the results are also now available and will be archived on the website. Before we start, I would like to remind everybody that certain comments made during this call might be characterized as forward-looking statements under the Private Securities Litigation Reform Act of 1995. Generally speaking, any comments regarding management’s beliefs, expectations, targets, or other predictions of the future are forward-looking statements. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from the anticipated results implied by those forward-looking statements. These risks and uncertainties are detailed in Innospec’s most recent 10-K report, as well as other filings we have with the SEC. We refer you to the SEC’s website or our site for these and other documents. In our discussions today, we have also included some non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measures is contained in our earnings release and in the presentation that follows, a copy of which is available on the Innospec website. With us today from Innospec are Patrick Williams, President and Chief Executive Officer; and Ian Cleminson, Executive Vice President and Chief Financial Officer. And with that, I will turn it over to you, Patrick.
Patrick Williams: Thank you, David, and welcome everyone to Innospec’s first quarter 2017 conference call. I am delighted to be able to report that we had a really good start to the year. During our last call, I indicated that we built up momentum in the second half of last year and that we were optimistic about 2017. Our optimism was completely justified and we have delivered ahead of expectations. With sales up 39% and adjusted EBITDA up 20%, we have delivered adjusted EPS of $1 per share, which is 8% ahead of same quarter last year. This is despite the movement of over $30 million of Octane Additives sales into the second quarter. Oilfield Services endured a tough year in 2016, although the trends in the second half of the year were moving in positive direction. I am pleased to tell you that those trends have continued into 2017 as we expected. Sales were up substantially both sequentially and against the same quarter last year and we have held margins stable, while controlling cost. This has resulted in a significant turnaround in operating income from a loss of $5.5 million in the comparable quarter to a profit of $3 million this quarter. In Fuel Specialties, we are pleased to see the return of volume growth, especially in the Americas although that steady growth has been accompanied by the expected normalization in margins that we had previously indicated. This business continues to be a key component of our portfolio with solid growth prospects and excellent cash generation. It has been a very busy quarter of performance chemicals, as we have made significant progress integrating the business that we acquired from Huntsman at the end of last year. The acquisition has performed according to our strategic plan. It was accretive from day one and has delivered additional $0.10 of adjusted EPS after financing cost, which is exactly as we indicated when we first announced the deal back in August 2016. The heritage Innospec business has also performed well with further new product launches adding to the combined portfolio. Customer reaction to the acquisition has been positive and the overall business is now on a very solid platform for long-term global sustainable growth. Turning to Octane Additives, we received a further order from the one remaining customer for approximately $20 million. However, the timing of the order meant that we were only able to shift and invoice $6.9 million in the first quarter, compared to $17.8 million in the same quarter last year. The balance of the $13 million will be delivered in Q2. In summary, this has been a strong quarter with all our core businesses delivering at or above expectations, giving us a further optimism for the rest of 2017. Now I will turn the call over to Ian Cleminson, who will review our financial results in more detail. Then I will return with some concluding comments. After that we will take your questions. Ian?
Ian Cleminson: Thanks Patrick. Turning to Slide 7 in the presentation, the company's total revenues for the first quarter were $294.3 million, a 39% increase from $212.1 million a year ago. Excluding the acquisition, like-for-like sales were up 11% year-over-year. The overall gross margin decreased by 5 percentage points from last year to 30.9%, driven by the addition of the lower margin acquired business in performance chemicals, and lower contribution from Octane Additives. Adjusted EBITDA for the quarter was $39.2 million, a 20% increase compared to last year. Our GAAP earnings per share was $0.70, including special items, the net effect of which decreased our first quarter earnings by $0.30 per share. A year ago, we reported GAAP earnings per share of $0.77, which included a negative impact from special items of $0.16 per share. Excluding special items in both years, our adjusted EPS for the quarter was $1, an 8% increase from $0.93 a year ago. Moving onto Slide 8, revenues in field specialties for the first quarter were $126.4 million, a 2% increase from the $123.4 million reported a year ago. Volumes were up by 8%, partially offset by an adverse pricing product mix of 5% and a 1% negative currency impact. The business continues to make steady progress in Asia-Pacific, while there was a pleasing return to volume growth in the Americas. The quarter was a little softer in EMEA, primarily due to order phasing rather than any change in demand. Fuel Specialties gross margin for the quarter was still strong at 36.5%, up 2.5 percentage points from the same quarter last year were down sequentially as we had anticipated. Operating income for the segments were $26.8 million, up 12% from $23.9 million in the first quarter of 2016. Turning to Slide 9, sales in performance chemicals for the first quarter were $94.5 million, compared to $34.7 million last year, while much of this increase is attributable to the acquisitions from Huntsman at the end of 2016, the heritage Innospec business also grew by 3%. As volume growth of 3% and a favorable price mix of 1% offset an adverse currency impact of 1%. Gross margins of 17.7% were adversely impacted in the quarter by a $1.7 million one-off fair value inventory adjustments to the acquisition. On an adjusted basis, gross margins were 19.5% broadly in-line with the 20% expected for the combined business. Operating income for the quarter was $6 million, up 36% on the $4.4 million in the comparative quarter and includes the negative impact of the $1.7 million one-off fair value adjustments. Moving onto Slide 10, as Patrick indicated earlier, and as we expected, our Oilfield Services business continues its recovery with a full successive quarter of improved sales and profits. Sales of $66.5 million were 84% up on the same quarter last year with increased customer activity, the main driver. Volume growth of 115% was offset by a price mix reduction of 31% with lower selling prices driven by lower raw material costs, compared to the same quarter last year. However, raw materials have increased slightly on the fourth quarter of 2016. Gross margins of 38.2% were up 6.2 percentage points on the comparable quarter was steady on a sequential basis. Operating income was $3 million, compared to a loss of $5.5 million for the first quarter of 2016. Moving onto Slide 11, net sales in Octane Additives for the quarter were $6.9 million, down from the $17.8 million in last year's first quarter, as over $13 million of the current 20 million orders slipped into the second quarter. The segment's gross margin was 39.1% and operating income for the quarter was $2 million, compared to $11 million a year ago. After we completed the current order in the second quarter, we have no further confirmed orders on hand. However, there are indications that our customer will require additional products in the second half of the year. We will continue to update you on each quarterly call. Turning to Slide 12, corporate cost for the quarter was $10.7 million, compared to $10.2 million a year ago. This is within our expected range. The effective tax rate for the quarter was 25.9%, compared to 22.9% last year, reflecting the geographical mix of the business and we expect the full-year effective tax rate to be approximately 25%. Moving onto Slide 13, when we announced the acquisition from Huntsman, we indicated that we would not be acquiring either accounts payable or accounts receivable and that would need to inject approximately 25 million of working capital into the business. This outflow in the first quarter was $28.6 million and contributed to a net operating cash outflow across the group of $19.9 million for the quarter before capital expenditures of $6.7 million. We expect to return to cash generation in the second quarter as the working capital position stabilizes. As of March 31, Innospec have $45.4 million in cash and cash equivalents and total debt of $243.7 million, resulting in net debt of $198.3 million. And now I will turn it back over to Patrick for some final comments.
Patrick Williams : Thanks Ian. The strong performance of all of our strategic businesses in the first quarter further confirms that our strategy is well balanced and right on track. We are very positive about our prospects for the future and we are very well placed to deliver solid growth from all of our core businesses. As we indicated in our last call, our Oilfield Services business has benefited from the industry recovery and continues to grow profitably. Fuel Specialties again delivering steady growth and even with margins normalizing, our cash generation is excellent. Prospects for this business are solid in all regions. We are delighted that our new acquisition performance chemicals has made a good start with the exact earnings that we expected in the quarter. The combined portfolio of products will be among the best in the industry launched from our global platform and aligned with customers in all regions. I'm very pleased to announce the board of Innospec has sanctioned a further increase in our semi-annual dividend. Over the past three years, we have increased our dividend every six months with an annualized increase of 10% in every year. We have decided to accelerate this increase and have approved a semi-annual dividend payment of $0.38 per share, which will be payable later this month. This is in line with our target to improve the dividend for the full year by 15%, further returning value to the shareholders. We will continue to complete the task of integrating our new acquisition over the coming months with the enlarged performance chemical business well placed to make a good contribution to our global platform and balanced portfolio. We remain receptive to further acquisition opportunities, which could enhance our portfolio with a focus on adding to our technology or our geographical coverage. Now, let’s turn the call over to the operator and Ian and I will take your questions.
Operator: Thank you. [Operator Instructions] And we shall take our first question from Jon Tanwanteng from CJS Securities. Your line is open. Please go ahead. The participant seems to have removed himself from the queue. So, we shall now take our next question from Curt Siegmeyer from KeyBanc Capital Markets. Your line is open. Please go ahead.
Curt Siegmeyer: Hi good morning guys.
Patrick Williams: Good morning.
Ian Cleminson: Good morning, Curt.
Curt Siegmeyer: The top line growth was pretty impressive, excluding the Huntsman acquisition up double digits in the quarter, it seems like that would be a pretty tough achievement to maintain that over the course of the year, so maybe if you could help us how should we think about topline potential as we move forward throughout the year and comps potentially get a little bit more difficult as well?
Patrick Williams: Yes, Curt. I think it is obviously we probably grew above market expectations, and I think if you break down the market sectors that we are in and you still, if you look at performance chemicals, including the Huntsman acquisition we fully realized it is going to take a full-year, the remainder of this year to fully integrate it and then obviously get the output of that moving to 2018 and the benefits of it. If you look at oilfield and the basins that we are located in and the drilling activity and the completion activity in those basins, we fully expect double-digit increases throughout the year. We will obviously every quarter update as we see crude prices fluctuate, but we feel very confident that we will get double-digit growth continued throughout 2017 in the oilfield sector. If you look at fuel specialties, it was finally back to the GDP plus 2% to 3%. As we have been stressing for quite some time, there was a little low in EMEA, but that was just order pattern, I think the same was with Asia-Pacific. EMEA had a kind of a warm winter, so it hurt on the heating oil side and the coal flow side, but overall there is nothing there that does not tell us that demand is still intact. So, we are feeling fairly confident in 2017 and we will sustain nice growth rates.
Curt Siegmeyer: Okay great. And then one on Oilfield Services, you know that you have been able to turn a profit now for a couple of quarters in a row there, are we at a price level with oil where it is now and given some of the volatility where we can expect that business to kind of remain profitable for the year, is there maybe a rule of thumb where if oil drops below 40, you guys get a little nervous in terms of the activity that you see there?
Patrick Williams: Yes, good question. As we alluded to in the last couple of quarters, I think the US has adapted extremely well to lower oil prices. I think it’s kind of back fired to OPEC quite frankly. So, we've adjusted our pricing. I think technology has really bought the cost down to a cost scenario where we feel like in the markets that we are in it is probably the lowest cost basins globally. We don't have social cost we have to deal with et cetera. Technology has really changed the game here. I think from a price our view, obviously there can be views all over the place, but our view is about anywhere from that $45 to $55, $60 range will still grow. I think you start getting under $40 a barrel, obviously people start pulling back, but being that we have gone through a round of layoffs couple of years ago when oil prices went down below 40, we’ve learned to adapt and I think that we’ve controlled our growth, you have obviously seen our SAR cost, we have controlled it inside the oilfield sector. So I think we are adaptable either way. We just got to be ready for when prices creep up into the high 50s and more activity kicks up. I think that’s really what we are focusing on right now.
Curt Siegmeyer: Great, that's helpful. Thank you.
Patrick Williams: You're welcome.
Operator: We shall take our next question from Jon Tanwanteng from CJS Securities. Your line is open. Please go ahead.
Jon Tanwanteng: Good morning. Can you hear me? I think there was an issue with my line.
Patrick Williams: Yes, we can hear you Jon.
Jon Tanwanteng: Okay great. Nice quarter guys. Thanks for taking my question.
Patrick Williams: Thank you.
Jon Tanwanteng: And I'm sorry if it was already asked, but Fuel Specialties margins were once again above where you are hinting at exiting last quarter, just can you talk about the components of that and what drove it and how sustainable you think it might be?
Patrick Williams: Yes, I think Jon as we, we basically said the last couple of quarters that margins were extremely strong, stronger than we expected. And then we would get some raw material movement that would push those down into more normalized margins. We used to historically be in that 32%, 33% range. Now we are staying at 34% to 35%, we were about 36.5% I believe for the quarter. But I would suspect Jon that 35% for modeling purpose is probably a good model moving forward in 2017 through the remainder of the year, unless you get a real spike in crude prices.
Jon Tanwanteng: Okay great. That's helpful. And then just, on top of - in the oilfield business, you know right counts keep increasing, what have you been seeing on the ground in terms of volumes versus your ability to price?
Patrick Williams: What was the last portion of your question, Jon, I'm sorry?
Jon Tanwanteng: The volumes you are selling versus your pricing ability.
Patrick Williams: Well, I mean if you look at, it’s majority volume growth obviously. You have seen on the top line revenue and you have seen that inflection point where we are now starting to drop to the bottom line. We’ve out grown rig count and I think if you recall the last few quarterly calls, we’ve talked about is, following a rig count was an anomaly at some point in time. I think we are almost starting to get back to some normalization in the marketplace where a fall in rig count gives you a better view of what the overall market is going to look like. But our view moving forward is that we feel very confident in double-digit growth where prices sit right now. We typically get as we have stated in the past that we will get a 3-month to 4-month ahead view of what that quarter is going to look like in oilfield, just due to the fact that the CapEx programs that we are involved in. So we're fairly confident that similar numbers you see in Q1 be similar numbers you see in Q2.
Jon Tanwanteng: Got it. And then just on the Huntsman business, you saw a run rate of $0.10 of attrition I guess in the first quarter that you had it under the Innospec umbrella. Do you see that growing significantly going forward because that will put you I guess above the target that you set last year when you said you would see about $0.40 of accretion?
Patrick Williams: Yes, I think probably keeping it at $0.10 per quarter is probably the right thing to do. My true feeling on this is, it is going to take us literally through 2017 to fully integrate and I don't think you will start seeing full marketing and sales benefits, revenue benefits and even GP benefits until early 2018. I mean, you know as an acquisition this size, for a company of our size it takes significant work behind the scenes to get this fully integrated. This acquisition came with some really strong personnel, we're very happy it’s exactly what we expected, but I really don't see the true growth that we’re expecting until 2018, but the acquisition is truly what we expected from an EPS standpoint 2017.
Jon Tanwanteng: Got it, and then just finally any commentary on avgas, how it performed in the quarter, how you see that developing through the year, and if you see a potential replacement for that on the horizon at all?
Patrick Williams: It was pretty much normalized in the quarter that wasn’t a spike up or down. With avgas it won't be replaced of that, it would be a complete fuel replacement and it’s still in the queue at some point in time it will happen, I don't think it is going to happen anytime in the near future.
Jon Tanwanteng: Great, thank you very much.
Patrick Williams: Thank you.
Operator: [Operator Instructions] We shall take our next question from Chris Shaw from Monness Crespi, your line is open, please go ahead.
Patrick Williams: We might well move to the new question. Chris, we can't hear you Chris.
Operator: Your line is open Mr. Dezellem from Tieton Capital Management. Please go ahead.
Bill Dezellem: Thank you. I actually have a group of questions here if I may, first of all relative to oilfield, you’ve talked about the success that you are having there, is there a point that the incremental profitability accelerates and essentially incremental margins grow at a more rapid rate than they have or do you see it just more continuing as it is?
Ian Cleminson: You know Bill, from the onset because the growth has been so drastic, obviously when you get growth, yes put capital back into whether it is SAR cost or if it is capital requirements. So I think with the massive growth that we’ve seen in the quarter and the two previous quarters, you won't get that inflection point quite yet. I think once you get some stabilization in the market, we don't see the growth that we’re seeing as best as we are seeing, you will start seeing that hits the bottom line a lot quicker, but it will build over time and at some point in time you will start seeing it reflect back into more operating income.
Bill Dezellem: So, interesting the inflection point has been held back by this success, and so as, when we hit that point, is that the rate of growth slows, and I won't say that you can catch your breath, but there is this less investment required to keep up. Then that’s when we should anticipate that real inflection point?
Ian Cleminson: Yes.
Bill Dezellem: Great, thank you. And then, relative to the octane business has your customer made any progress over the course of the last year that you are aware of building out their refinery capabilities and I asked a question really in the grander questions which is how should orders look this year versus last year in total?
Patrick Williams: From the limited information that we get Bill, they have not made a lot of progress, which is pretty much as we anticipated. We would probably say we will have another order as we have indicated in our script, at the latter part of 2016 and the likelihood is we will have some orders going in 2017.
Bill Dezellem: So net of a it is their consumption, putting your orders aside for a moment, their consumption this year should be similar to last year is simply because they have not made forward progress and how the order pattern shakes out, is as you just described.
Patrick Williams: That is correct.
Bill Dezellem: And then R&D has ticked up, consistently have been ticking up, would you talk a little bit about what’s going on behind the scenes that you are growing up in your R&D labs?
Patrick Williams: Sure. I mean if you look at the growth it doesn't come because we don't have technology backing it. So, most of the growth that you see in all of our businesses is because of introduction of new technology to the marketplaces. So, you have seen a little uptick in R&D and think as you see the growth patterns and if we stay on those growth patterns, I think you will see a little bit more uptick, but at some point it levels out as well. So, I think it’s pretty minimalized on an R&D uptick, but you can see the output that it’s provided in the quarter.
Bill Dezellem: Thank you. And then actually I would like if I may to come back to Octane for just a moment, what’s the lead time that it is going to take your customer to make the changes they need ultimately to no longer require the MTB, just trying to understand how much visibility that you get, I mean is it six months, is it two years how does that end up working?
Patrick Williams: Yes the problem Bill is you just don't know. As we always say, we finally don’t go unlettered, countries go unlettered, and we believe that two of the three refineries are capable of going unlettered today, but the largest refinery is not obviously capable of going unlettered. So, I would say you get - as much information as you get, you might get three months to six months max to kind of figure out if they are going to order in anymore or. That’s why we continuously update you guys every quarter because we get as much information as we can out there, but we continue to update every quarter, because we just don’t know.
Bill Dezellem: Okay, thank you. And then finally you referenced in your release, in your commentary this morning that you are open to acquisitions and partnerships, and given how the company is organized today and the businesses that you have, would you talk a little bit in more detail about your strategy for acquisitions and partnerships from this point going forward.
Patrick Williams: Yes, I mean one of the things that we pride ourselves on is that we put out a strategy five years ago and we stuck to that strategy. We were in a balanced portfolio of our three businesses and we’ve done that with this acquisition with Huntsman. So not only did it give us a balance global portfolio for performance chemicals but it balanced down our corporate portfolio and that’s really what we wanted to do to take some of cyclicality out of the market. I think for us moving forward now, we are at about 1.4 times [indiscernible] that will probably come down to 1.1, 1.2. So we have the great balance sheet to do more if we want to. You right, now we are in full integration mode that’s going extremely well. I think if you look at things that we might do in 2017 would be a small geographic acquisition or a technology acquisition, I am not sure you will see anything major in 2017, I think we need to bite of this Huntsman acquisition first, but if you look at the strategy now and if you look at the portfolio you will see that we will start biting of on as I said earlier, acquisitions and technology or geographic expansion. And that expansion doesn't have to be an acquisition. I mean your cheapest capital is your organic capital and so if we could build it internally, we will build it internally. If we can find a JV partner where we have controlling interest, we will look at that as well. So, it’s not that we have to go out and purchase, we like to be creative in other ways.
Bill Dezellem: Thank you. Appreciate all the commentary.
Patrick Williams: Thanks Bill.
Operator: [Operator Instructions] We shall take our next question from Chris Shaw from Monness Crespi. Your line is open. Please go ahead.
Chris Shaw: Yes [indiscernible], can you guys hear me?
Patrick Williams: Yes, no problem Chris.
Ian Cleminson: How are you Chris?
Chris Shaw: Okay great, sorry. How you guys are doing? I wanted to expand on something that Jon was asking about the Fuel Specialties margins, given the indication where you are expecting to be, but what is causing this trend, is that you guys are getting pricing and the raw material inflation really not hit yet, is it just mix, is it a lot of Avtel in there, could you give a little more color there?
Ian Cleminson: No, it is not in the abundance of Avtel, it is product mix. We’ve been able to hold margins with raw materials coming off a little bit, but we are starting to see some increases of raw materials, that’s why we came off of a extremely high margin in Q4, and as we said in the call, we would start seeing that normalize and it came off a couple of points in Q1. So, I think it’s a combination of a lot Chris, I think you will see for modeling purposes, we told everybody you might even see a little bit pull back throughout the year, but I again say it’s probably, will be above our historic, so 35% probably more of a solid number.
Chris Shaw: Okay, thanks. And then on the performance of chemicals, on the accretion from Huntsman, just curious how you get to the $0.10 and just - I can't seem to figure it out because the operating income obviously is not up that much in the segment year-over-year and then there is the interest expense. Is there just something sort of some add backs and stuff that I just don't - I haven't seen or can't figure it out on my own. Figure it to be $0.10.
Ian Cleminson: Yes you need to [indiscernible] acquisition and the fair value accounting adjustment that we talked about in the script. So, you have got an adjustment back of about $0.14 on the business, and then you have got to $0.04 financing cost as well to take you down to $0.10. There’s a couple of adjusted items in that.
Chris Shaw: Okay, got it. Great. That's all I had. Thanks.
Ian Cleminson: Thanks Chris.
Operator: We shall take our final question from Sean Milligan with Coker and Palmer. Your line is open. Please go ahead.
Sean Milligan: Hi, good morning guys.
Patrick Williams: Good morning, Sean.
Ian Cleminson: Good morning, Sean.
Sean Milligan: On the Oilfield Service side, if you get double-digit growth throughout this year, what kind of EBIT margins do you anticipate being able to achieve this year?
Ian Cleminson: Yes, Sean this is Ian. So in the first quarter we had about 11% EBITDA margins and roundabout probably about 5% operating income margins. So as Patrick was saying earlier on, as we start to see start to see more operational leverage going through the business and we see higher revenue growth and we can contain that cost base and we can hold our margins, because there is no reason why we can't seem to exit this year. Probably around about mid-teens on EBITDA margins and probably heading towards, double digits on operating income margins, well that’s very much depended upon what happens to the activity levels in the market and where oil price goes.
Sean Milligan: Okay great, thank you. All right, and then if we look at the fuel side, if you look at 2015 and 2016 in terms of top line both those years were down and then this year and then for the first quarter at least you are up year-over-year on a top line basis. So my question was, where some of the negative trends that we've seeing in terms of top line on a year-over-year basis in both 2015 and 2016 alleviating and you know is this is going to be a year of kind of flat to up growth for the fuel business from the top line perspective?
Patrick Williams: Yes, I think at some of the trends if you look at the expectations, economy expectations have gone away, I think if you also look at, which is more importantly customer patterns have continued in the direction we anticipated, as well as we picked up new business. And I think that that’s obviously added to the positive trend. New technology obviously helps us with new business, I would suspect in 2017 you will see flat to GDP plus 2% to 3% growth right in that ballpark.
Sean Milligan: Okay, thank you. And then the same type of question in terms of the legacy performance chemicals business, on a year-over-year business you provided that you grew it 3%, I was just curious about what type of growth rate for the legacy business you thought you could achieve this year, I think previously you had made comments about sort of high single digits where the potential growth rate, but I just want to make sure it is still the case based on what you're seeing?
Patrick Williams: Yes it is still the case. I would say mid-to-high single-digits is still a fair number.
Sean Milligan: Alright, thank you. And one last question, if I am around on the after [ph] call, on the G&A line I was surprised, I mean I know it is up year-over-year, but adding Huntsman, you know all things considered you were able to keep that in check pretty good, you know what kind of G&A creep do you think we see through this year on higher volumes in oilfield and that kind of stuff? If I am looking at my model, what do you think the right kind of exit rate G&A is to use on a quarterly basis?
Ian Cleminson: Yes, that is a tough one to answer on oilfield, Sean depending on where the business goes. If we continue to see revenue growth, while we are have in Q1, we added about 5 million to the SG&A line in quarter one. If you keep seeing revenue growth while that is going through, I think we will certainly see an increase in G&A in Q2 as the business continues to perform. I think it might flatten on the back half of the year, depending on where we get to. I think the Huntsman business as we said, that’s added $4 million to $5 million in the quarter and that should be pretty steady for the full year, and the rest of the business will just be in inflationary growth. So, you know 2% to 3% increase year-over-year, so depending on the moving parts in Oilfield it really depends on where we get to. I think the Huntsman G&A is pretty much based on that.
Sean Milligan: All right. And then one last quick question, you know if you look at the first quarter, I know the tax rates creeping up a little bit on you, what percentage of your business in terms of like pre-tax income is related to - would be tax at a higher U.S. corporate tax rate and potential will be positively impacted if that were to be adjusted?
Patrick Williams: Probably 45% in that area.
Sean Milligan: Okay, thank you. Thank you, guys. Nice quarter.
Patrick Williams: Thank you. Appreciate it.
Ian Cleminson: Thank you, Sean.
Operator: As there are no further questions in the queue, that will conclude today's Q&A session. I would now like to turn the call back to Mr. Patrick Williams for any additional or closing remarks.
Patrick Williams: Thank you all for joining us today and thanks to all our shareholders, customers, and Innospec employees for your interest and support. If you have any further questions about Innospec or matters discussed today, please give us a call. We look forward to meeting up with you again to discuss our Q2 2017 results in August. Have a great day.
Operator: That will conclude today's conference call. Thank you for your participation ladies and gentlemen, you may now disconnect.